Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss BurgerFi's financial results for the first quarter ended March 31, 2021. 
 Joining us today are BurgerFi's CEO, Julio Ramirez; CFO, Michael Rabinovitch; and the company's external Investor Relations representative, Cody Cree. Following their remarks, we will open the call for your questions. 
 Before we go further, I would like to turn the call over to Mr. Cree. As he reads the company's safe harbor statement within the meaning of the Private Securities Litigation Reform Act of 1995 that provides important cautions regarding forward-looking statements. Cody, please go ahead. 
Cody Cree: Thanks, Joelle. This conference call may contain forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995, including statements relating to BurgerFi's estimates of its future business outlook, prospects or financial results. 
 Forward-looking statements generally can be identified by words such as anticipates, believes, estimates, expects, intends, plans, predicts, projects, will be, will continue, will likely result and similar expressions. These forward-looking statements are based on current expectations and assumptions that are subject to risks and uncertainties, which could cause our actual results to differ materially from those reflected in the forward-looking statements. Factors that could cause or contribute to such differences include, but are not limited to, those discussed in our annual report on Form 10-K for the year ended December 31, 2020, and those discussed in other documents we filed with the Securities and Exchange Commission. We undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements, except as required by law. Given these risks and uncertainties, readers are cautioned not to place undue reliance on such forward-looking statements. 
 Also, the following discussion may contain non-GAAP financial measures. For a discussion and reconciliation of these non-GAAP financial measures, please see our earnings releases for the first quarter 2021 and fourth quarter 2020 and full year 2020. 
 I'd like to remind everyone that this call will be available via telephonic replay for 2 weeks starting today. A webcast replay will also be available via the link provided in today's press release as well as on the company's website at burgerfi.com. 
 Now I'd like to turn the call over to the CEO of BurgerFi, Julio Ramirez. Julio, over to you. 
Julio Ramirez: Thank you, Cody, and good morning, everyone. We're happy you all can join us today. Today, I'll start with a brief history and overview of BurgerFi and then highlight some of our first quarter 2021 successes. From there, I'll turn it over to our CFO, Mike, to walk through our financials, then return to discuss our go-forward strategy and growth opportunities. We're also going to discuss some brief fourth quarter and full year 2020 highlights, since it is our first call subsequent to completing our business combination to go public in December of last year. 
 With that, I'm going to start us off with a quick history of our business since it's our first earnings call as a public company and many of our listeners may be new to our story. 
 The first BurgerFi restaurant opened 10 years ago outside of Fort Lauderdale, Florida in a town called Lauderdale-By-The-Sea, and the success was immediate. People loved our food, decor, ambiance and the overall energy of our brand. Our mission statement of redefining the way the world eats burgers and enriching lives through the best burger experience is now even more relevant than ever, building on our great tasting food and navigating the experiences faced by our guests in the current challenging environment. 
 We offer the highest quality ingredients and premium burger experience in an exceptionally clean, eco-friendly restaurant prepared and served by a highly energetic and motivated team. We have grown to approximately 120 company- and franchise-owned restaurants in 22 states, 2 countries and Puerto Rico. I'm proud to say that in our home state of Florida, we believe we're the premier better burger chain with over 50 locations, which is over 3x larger than our nearest competitor. 
 Across all of our locations, we place an emphasis on design that no one else in our industry comes close to. Our dining rooms feature all natural wood walls made out of #2 Southern Pine lumber, one of the most renewable wood sources on the planet. Similarly, our tables and chairs are made out of recycled materials. For example, the Navy 111 chairs in our restaurants are made from upcycled Coca-Cola bottles, and our [ paralem ] communal tables are made of compressed recycled wood from shipping pallets. 
 In addition, all of our lighting and fans are energy efficient with very low electricity usage. All of these features and more contribute to our trendy and modern atmosphere that consumers have come to love. I always like to say that our restaurants have such a great design, you can take a date to BurgerFi. 
 Just like the attention of detail and design, we placed a huge emphasis on the food we serve. We use 100% American Angus beef, naturally raised and harvested, part of the NAE program that stands for no antibiotics ever. The beef was never given steroids, hormones, antibiotics, chemicals or additives by feed or by injection. It's humanely raised vegetarian grass-fed and of course, never frozen. This standard is consistent across all of our meat-based burgers from the signature BurgerFi cheeseburger to my favorite, the premium wagyu CEO burger. 
 In addition to our beef, we offer a great diversified menu that caters to nearly everyone's unique taste preference. I firmly believe we have the best onion rings in the industry, which are cut from Spanish colossal onions and then hand-breaded and beer-battered. We also offer french fries that are fresh and hand cut from Idaho Burbank potatoes in our restaurants, all natural cage-free chicken, premium frozen custards and concretes that we believe are far superior than standard ice cream and local craft beer and wine in select locations. 
 Additionally, we were the first better burger chain to introduce Beyond Burger's plant-based patty to our customers. And we also have a vegetarian patty option, the award-winning VegeFi that's made up of 15 all-natural ingredients, including crispy quinoa and fresh cut festivals. This is truly a menu that garners awards. 
 To that point, we were recently named a Top Better Burger Fast Casual Chain in USA Today's 2021 10Best Readers' Choice survey. And as of yesterday, I'm happy and proud to announce, we were named the #1 Brand of the Year in Fast Casual's Top 100 Movers & Shakers in 2021. 
 The numerous awards that we have received are a testament to our focus on innovation and customer engagement. One powerful way we stay engaged with our local loyal customer base is through limited time offers, some of which allow us to test new products that can potentially become permanent menu additions. 
 Recent examples of our limited time offers include our February TriFi promotion to celebrate our 10th anniversary, which is the $10 cheeseburger, beer and fries deal. And we just announced our new Dunkaroo Shake through a collaboration with General Mills, which we'll be serving until June 13 at our New York City and Miami locations. The Dunkaroo Shake mixes our decadent and creamy classic vanilla shake with the popular '90s cookie snack Dunkaroos. We are excited to bring this blast from the past to our guests and hope they can reminisce with this nostalgic treat. 
 Another example of our limited time offerings and one of my favorites is the nationwide success that we had with our Spicy Fi'ed Chicken Sandwich last fall. With the success of the Spicy Fi'ed Chicken we realized that our customers were craving spice and we got to work in our world-class commissary North Palm Beach to create a one-of-a-kind spicy burger sensation, which we call the SWAG Burger, as in Spicy Wagyu Angus Burger. Launched in March, our SWAG burger featured 5 spicy ingredients: a double wagyu and brisket-blend burger with Charred JalapeÃ±os, candied ghost pepper bacon to pack the heat, sweet tomato relish to add a bit of sweet, habanero pepper jack cheese and a hot steak sauce. We had a lot of fun playing with the ingredients and texture, and I'm happy to report that the SWAG burger has been so successful, we're extending at this limited time offering through at least June of this year. These limited time offers showcase our ability to create iconic offerings and show how we are truly redefining the burger experience. 
 I would like to thank our team for their dedication and hard work especially since it has been a challenging time as everyone continues to navigate through the pandemic. We've always invested in our people with world-class training and development to deliver our brand promise and instill our purpose and beliefs. But I think these past 14 months have shown that when you invest in people, great things happen. 
 It's our extraordinary team that helps us expand our footprint with 11 new restaurant openings in 2020 and opened our first drive-thru location in Kentucky and Nevada. We also have a team that was adaptable as our digital orders became a larger portion of our mix, with over 1.6 million delivery and BurgerFi app orders in 2020, accounting for more than 30% of our system-wide revenue last year. 
 While the disruptions of COVID-19 continue to impact us, we have seen sequential improvements in each quarter since the start of pandemic as we pivoted and adapted to increased digital orders. Overall, I'm extremely proud of our progress and our prospects for growth. 
 In addition to adding new restaurants and introducing drive-thru locations, we became one of the first better burger chains to expand with not 1 but 2 ghost kitchen partners, Reef Technologies and Epic Kitchens. And we're now up in 9 locations in 6 cities. I'll discuss our partnerships with the ghost kitchens in more detail later. 
 But first, I'll turn the call over to our new CFO, Mike Rabinovitch, who will provide additional commentary on our performance for the first quarter as well as select fourth quarter results and full year 2020 results. As a reminder, Mike officially joined as a CFO on May 3. He comes to us with over 25 years of executive-level financial leadership experience, having recently served as Chief Accounting Officer at Tech Data Corporation as well as Office Depot. Prior to those roles, he held the CFO role at Mayors Jewelers for over 9 years and was a VP of Finance for Claireâ€™s Stores during their period of rapid expansion. As we continue to accelerate our growth strategy, Michael's leadership skills, extensive experience in the specialty retail sector, managing the financial process and growth of large public companies adds significant value to our organization. 
 Mike, I'd now like to turn over the call to you. 
Michael Rabinovitch: Thank you, Julio, for that introduction, and good morning, everyone. I will first provide a quick summary of our fourth quarter and full year 2020 results and then go into our first quarter results. 
 Our fourth quarter revenue improved 12% to $9.8 million compared to $8.7 million in the year ago. For the full year, our revenue increased slightly to $34.3 million compared to $33.6 million in 2019. The increase in both the quarter and the full year results is primarily attributable to the increase in store count, partially offset by a decline in same-store sales at the company-owned restaurants driven by the effects of the pandemic-related restaurant closures. 
 System-wide sales in the fourth quarter were $34.6 million compared to $37.3 million in the year-ago quarter. And for the full year, system-wide sales were $129.3 million compared to $145.8 million in 2019. The decrease for both periods was primarily attributable to the impact of COVID-19. 
 Delivery and digital sales were up over 80% year-over-year in the fourth quarter, as our investments in digital platforms and our swift response to the current market challenges drove delivery sales growth. 
 Adjusted EBITDA in the fourth quarter increased 19% to $1.2 million compared to $1 million in the year-ago quarter. For the full year, adjusted EBITDA was $2.2 million compared to $4.1 million in the prior year. The decline for the full year was primarily due to the increase in restaurant-level operating expenses and brand development costs. 
 Now let's turn our attention towards the first quarter results. Our first quarter total revenue increased 32% to $11 million compared to $8.3 million in the year-ago quarter. New restaurant openings and same-store sales increase supported by our digital channel sales continued to drive sequential improvement in system-wide sales for the first quarter. In fact, corporate-owned restaurants delivered an 11% increase in same-store sales during the first quarter. 
 System-wide sales in the first quarter increased 19% to $39.8 million compared to $33.5 million in the year-ago quarter. Digital channel sales were up 98% year-over-year in the first quarter as our investments in digital platforms and our swift response to the current market challenges drove delivery sales growth. As Julio will discuss later, we plan to continue to invest in technology with the goal of delivering a more frictionless omnichannel experience to drive guest satisfaction and sales. 
 Restaurant-level operating expenses for the first quarter was $7.4 million compared to $5.3 million in the year-ago quarter. Our restaurant-level operating margin was 13.5% compared to 13.6% in the first quarter of 2020. The slight margin decline was primarily a result of a higher percentage of our business being supported by third-party delivery service partners. 
 Net loss attributable to controlling interest in common shareholders in the first quarter was $8.2 million, which compares to net income attributable to controlling interest in common shareholders of $800,000 in the year-ago quarter. The additional income generated by higher sales in the quarter was more than offset by the noncash loss on change in the value of warrant liabilities and a valuation allowance in relation to the company's deferred tax assets, along with higher depreciation and amortization expense as a result of our business combination in December 2020. Additionally, we had higher noncash share-based compensation expense and additional expenses associated with being a public company. 
 Adjusted EBITDA in the first quarter was $700,000 compared to $1.1 million in the year-ago quarter. The decline is associated with the aforementioned costs of being a public company, along with some of the foundational investments to support our future growth initiatives. 
 Moving on to the balance sheet. Our unrestricted cash balance at March 31, '21, was $34.7 million compared to $37.2 million at December 31, 2020. During the first quarter, we repaid and terminated a revolving line of credit of $3 million. 
 Moving on to our outlook. We remain optimistic about our short-term and long-term prospects. In fact, we plan on opening approximately 30 company- and franchise-operated restaurants in 2021. We also expect to open 15 to 20 new ghost kitchens this year. Additionally, we expect to have capital expenditures of approximately $15 million for 2021, primarily to support new restaurant construction of company-owned stores. 
 Now I'll send it back to Julio to discuss our growth plan and strategic initiatives going forward. Julio? 
Julio Ramirez: Thank you, Mike. I'm proud of what our team was able to accomplish and the results we've reported in our first full quarter as a public company. Already being about halfway through the second quarter, we're very pleased with our quarter-to-date sales performance as we continue to see our momentum grow from that experience in the first quarter. Our organization is well aligned on our mission, and we're doing an excellent job capitalizing on the opportunities at hand. 
 Now I'd like to talk about our strategic vision and the growth plans for our brand. Our first priority is the guest experience. We have redefined our thinking around the customer experience as our industry has shifted dramatically to more off-premise and digital dining experiences due to the pandemic. We have optimized our digital and seamless ordering solutions so that our guests can choose where and when they want to have the BurgerFi meal. 
 Guests can order pickup and delivery through our BurgerFi mobile app, order through our website or order from the largest third-party delivery providers in the marketplace. Additionally, to grow our brand outside of our existing markets, we partnered with Reef Technology and Epic Kitchens, which have developed ecosystems in the form of delivery-only ghost kitchens in various markets across the U.S. 
 We're using these kitchens to get a foot in the door in certain markets where we don't have a physical brick-and-mortar presence as well as providing added visibility and awareness in markets where we currently are growing. We're also able to test out new growth opportunities while building brand recognition and integrity without the large upfront fixed cost of opening a new restaurant. 
 We currently are in 9 ghost kitchens across the U.S., all of which are helping us understand how we can build our brand in unique ways outside of our core strategy of company-owned and franchised restaurants. 
 Another way we're looking to improve our guest experience is through continued refinement of our omnichannel experience. With Henry Gonzalez as our new Chief Marketing Officer; and Karl Goodhew, recently named as our new Chief Technology Officer, we're working on a more consumer-focused and data-driven approach to drive engagement among our guests and ultimately increase sales and profitability. Karl will be focused on building out our loyalty and delivery features as well as our payment capabilities. By leveraging upgraded technology and innovative multichannel services, we are excited to provide our customers with the experience of choosing when and where they want to order. 
 Linking upgraded technology with our refined consumer-focused marketing, we're confident that 2021 will be a year where we increase our brand recognition and further improve our customer experience. 
 Now to go more in depth on our U.S. expansion plans, where we're accelerating our growth in both company-owned and franchised restaurants. In 2020, despite the pandemic, we opened 11 new locations. We also opened our first drive-thru in Kentucky. And then at the beginning of this year in 2021, we opened a drive-thru in Nevada. We're looking for ways to retrofit some of our existing locations to expand our drive-thru offerings. We believe that we will be the first to deliver high-quality, better-for-you food in a modern drive-thru format and scale. I would encourage you all to go to our Investor Relations website to get a firsthand look of our drive-thru prototype which is now a reality in Kentucky and Nevada via the video posted in the Presentations section. 
 During the first quarter, we opened 4 new restaurants, plus 1 in April, and we currently have 21 restaurants in various stages of development, the most ever at one point in time in the history of our brand. Now that we have the capital from our business combination, we're excited to accelerate our growth across our existing markets and expand into new markets with our goal to open approximately 30 new company- and franchise-operated restaurants and add 15 to 20 ghost kitchens by the end of 2021. 
 To dive deeper into markets, we're very proud of our dominant presence in Florida, where we are the leader in the fast casual better burger category and currently have over 50 locations. With Florida as our cornerstone, we've also been able to develop a strong presence in many states across the Southeast. As we grow, our strategy is to develop and build clusters of company-owned restaurants in cities we feel we have great potential. Our cluster strategy is to open 2 to 3 company-owned locations in selected markets such as Jacksonville, Tampa, Atlanta and Nashville, along with franchise restaurant expansion. As we open company-owned restaurants in those regions, we will use them as a base to support our franchisees, leveraging corporate support to provide better training, region-specific marketing while showing that we have skin in the game. 
 From the Southeast, we want to work our way up to the Eastern seaboard. We already operate in the Carolinas, in the suburbs of Washington, D.C., Philadelphia and New York. So by moving up the seaboard, we can connect our Southeastern stores to that region, creating a very strong brand presence along the East Coast. 
 As for other U.S. opportunities, we intend to pursue appropriate multiunit franchise deals in markets like the Southwest and Midwest U.S., but only to meet our rigorous criteria. We want potential franchise partners in these markets to be well capitalized, have restaurant or retail experience, deep knowledge of the geography they do business in and be a good cultural fit for our company and our team. 
 Addressing our international opportunities, we already have high-performing locations in Puerto Rico, with plans to open more. We're also in conversations with potential franchise partners in Latin America, where I spent over 10 years in the region and believe there's great opportunities. 
 We continue to operate 2 locations in Kuwait. And early this year, we signed a multiunit deal to open 6 locations in the Eastern province of the Kingdom of Saudi Arabia with Food Services, LLC, a great partner. The first restaurant is expected to open in the fourth quarter of 2021. 
 Our partner in Saudi Arabia was very attracted to the quality of our food, given the strong demand for a better burger concept in the region. And we look forward to seeing what the future holds for our brand in that part of the world. 
 Part of our overall strategy domestically and internationally is ensuring that we're attracting and hiring top-tier talent. As we continue our accelerated growth journey, I'm very excited about the outstanding management team that we have assembled with the additions of Jim Esposito, our Chief Operating Officer; Henry Gonzalez, our Chief Marketing Officer; Karl Goodhew, our Chief Technology Officer. Henry and Jim are both industry veterans with over 25 years of experience with multiple brands in the restaurant and foodservice industry, while Karl is a technology leader coming to us from Macy's. These 3 new hires, together with Mike as our new CFO, have joined a talented team of homegrown executives such as Chef Paul Griffin, the originator of our best-in-class menu. 
 In addition to great management, we've also attracted well-known talent to our Board of Directors. In February, we announced that Martha Stewart, one of the most recognizable cultural icons and food entrepreneurs, joined our Board. She leads our Product and Innovation Committee, and we look forward to her contributions as she leverages her extensive culinary and lifestyle industry expertise with us. 
 Overall, this is a great time to be at the helm of BurgerFi. We have a differentiated strong brand with a menu that our customers crave across the globe. We believe we have the capital and strong leadership team in place to aggressively pursue our expansion strategy while maintaining the quality and culture that makes our restaurants the best burger experience on the planet. We look forward to sharing our progress with you along this journey and hope you all stay safe and healthy during these unprecedented times. 
 Operator, we're now ready for Q&A. 
Operator: [Operator Instructions] And our first question comes from Howard Penney with Hedgeye. 
Howard Penney: I was hoping you could share some early learnings on the ghost kitchens, please? 
Julio Ramirez: Yes. It's a great question, and we're proud to say we were among the first to get into ghost kitchens. And we have -- we participate with 2, Reef Kitchens out of Miami, Florida; and Epic out of Chicago. 
 First of all, let me just say that they're definitely innovative, a lot of attention, a lot of interest on part of guests. We've had good experiences and great conversations with Reef lately. And that's why one of the comments we mentioned, we're going to grow with them. 
 I think what it's taught me is that the digital world is, it's a whole new ball game. People can see your brand without having a physical restaurant there and know your brand. And so one of the things we redirected slightly is to try not only to go into areas where the -- where our brand is not currently in, but brands actually, where we do have restaurants, to see if it, in fact, helps to create brand -- our brand awareness in markets, for example, like Atlanta, where we have 5 brick-and-mortar. By adding ghost kitchens, it can help to create a bigger presence. So that's a new thing that we're doing and we're hopeful that, that will be a very successful tactic for us. And so we'll be doing that in a few cities that we operate in. So we've got -- we're working very, very closely with Reef. 
 Epic in Chicago is a little bit different in that they're truly -- they are really a building, think of something in an urban area where nobody knows who it is. And the bottom line is in Chicago, we've had great success with the first restaurant there as we did in Miami with Reef. And so we're having great conversations with them about doing additional concepts as well. 
 So it's a relationship, right? We're both learning. It's still early. We've only been at it less than a year. And so -- but we're excited about the opportunities. They're very -- both are excellent companies. Reef is a technology company getting into restaurants. Epic is a restaurant company getting into technology. But they both add tremendous value to us, and we're going to continue to work with them and expand our work, particularly in urban areas and markets. 
Howard Penney: Are you putting dollars to work on the marketplaces to promote them on the different delivery providers? Or how are you promoting the brands? 
Julio Ramirez: We are. It's a joint effort. Both of us are putting marketing dollars at this point. And again, we're learning very quickly and evaluating the performance as we do it. So again, it's early days, and many of these Reef Kitchens in particular, have been only a few months. So it's a little too early to proclaim total victory, but we're excited enough that we want to be more with them, let's put it that way. 
Michael Rabinovitch: Howard, it's Mike. Just to add to that. Given that these ghost kitchens are -- a lot of them are in urban centers, as the effects of the pandemic subside and people return to work in major cities is really where these ghost kitchens are well positioned to penetrate the marketplace. Given that some of the major cities haven't really gone back to work in the urban centers, we think the best is yet to come. 
Julio Ramirez: Yes. And it's also expanding our reach and brand awareness and besides our regular social media advertising. So again, we're very excited about the opportunity, and we have great relationships with them. 
Howard Penney: And you said -- I think you said -- I didn't catch the number of leases you have signed for this year or under construction. I forget how you phrased it, but I didn't catch that number. 
Michael Rabinovitch: We have 21 locations currently under various stages of development. All of those are signed... 
Howard Penney: I'm talking about the kitchen. 
Michael Rabinovitch: You're talking about the kitchens or the restaurants? 
Howard Penney: Yes. The restaurant, sorry. 
Michael Rabinovitch: So we have 21 leases signed and under different stages of development. We have 4 opened year-to-date and then a number more in the pipeline for later in the year. 
Howard Penney: Awesome. And just lastly, would you be willing to share of the $15 million in CapEx this year, what you'll cover from cash flow? 
Michael Rabinovitch: I would say, given the size of the company in comparison to the investments we're making in the new stores, we expect most of that capital to come through the cash that we have on the balance sheet. The company, we do expect to be cash flow positive for the year, but the magnitude of the investments will far outweigh. 
Operator: Thank you. At this time, this concludes the question-and-answer session. I would now like to turn the call back over to Mr. Ramirez for closing remarks. 
Julio Ramirez: Thank you, Joelle. We'd like to thank everyone for listening to today's call. We look forward to speaking with you when we report our second quarter results in August. And again, thank you very much for joining us today. 
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation.